Operator: Hello, everyone. My name is Drew, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Teradata Fourth Quarter and Full Year 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to hand the conference over to your host today, Christopher Lee, Senior Vice President of Investor Relations and Corporate Development. You may begin your conference.
Christopher Lee: Good morning, and welcome to Teradata's fourth quarter and full year 2022 earnings call. Steve McMillan, Teradata's President and Chief Executive Officer, will lead our call today, followed by Claire Bramley, Teradata's Chief Financial Officer, who will discuss our financial results and our outlook. Our discussion today includes forecasts and other information that are considered forward-looking statements. While these statements reflect our current outlook, they are subject to a number of risks and uncertainties that could cause actual results to differ materially. These risk factors are described in today's earnings release and in our SEC filings. Please note that Teradata intends to file the Form 10-K for the year ended December 31, 2022 later this month. These forward-looking statements are made as of today, and we undertake no duty or obligation to update are forward-looking statements. On today's call, we will be discussing certain non-GAAP financial measures, which exclude such items as stock-based compensation expense and other special items described in our earnings release. We will also discuss other non-GAAP items such as free cash flow and constant currency revenue comparisons. Unless stated otherwise, all numbers and results discussed on today's call are on a non-GAAP basis. A reconciliation of non-GAAP to GAAP measures is included in our earnings release, which is accessible on the Investor Relations page of our website at investor.teradata.com. A replay of this conference call will be available later today on our website. And now, I will turn the call over to Steve.
Steve McMillan: Good morning, everyone. Thanks for joining us, and thanks Chris for the introduction. Teradata delivered a robust fourth quarter, capping off a strong year. We are very pleased that we hit all of our key metrics for the full year, especially considering the macroeconomic challenges from ceasing our operations in Russia. Demonstrating our momentum as a cloud leader, the fourth quarter was our largest cloud quarter ever, as the team delivered public cloud ARR of $357 million, a year-on-year increase of 81% in constant currency, nearly 45% larger than Q4 of last year. This incredible growth was propelled by customer demand for our differentiated platform, resulting in new, incremental workloads that drove healthy migrations and expansions. Our Total ARR also finished the year very strong, up 2% year-over-year in constant currency. We generated $108 million of sequential growth in the fourth quarter, driven by outstanding cloud activity. In addition, our on-prem subscription business remained steady, even in light of healthy migrations to the cloud. It's great to see that the team's performance in cloud is fueling overall total ARR growth. Looking at our tremendous progress across the board, our results showcase the positive impact of our strategic transformation. Just over two short years ago, we declared that Teradata would be cloud-first, and the entire team stepped up and executed with determination and consistency. Once we set our sights on our cloud-first future, we have delivered more than a six-fold growth in cloud; just remarkable results with growth well ahead of the market. Our strategic pivot was right, and I am very proud that these results illustrate our successful transition to a market-recognized leader in cloud data and analytics. The customers we serve are among the world's most demanding and complex enterprises, and we regularly hear from them that they need the best data and analytics capabilities possible, capabilities that Teradata absolutely provides to help them extend their edge in their markets. We meet customers where they are now with the technology that they need now, with our best-in-class lake, lake house, or data warehouse, whether in the cloud, on-prem, or a hybrid model. Our dedication to customer success and the strength of our technology gives customers full confidence that Teradata will keep bringing the analytics and data capabilities they will need in the future. We are seeing migrations remain high as customers transition workloads to the cloud, and we are also pleased to see that when customers start with Teradata in the cloud, they expand with Teradata. Our net expansion rate in cloud remained solid at 117% in the quarter. Our momentum accelerated in the fourth quarter as our sellers added new customers in the cloud and new logos. We brought in nearly 20% more new logos last year than in 2021. Our new accounts come from across all geographies and multiple industries. I'd like to share just a few examples. Kyndryl is modernizing its data platform and building out capabilities in the cloud to acquire and curate data while delivering key insights to its business. It selected Teradata on Azure as a key component of that strategy, leveraging our companies go-to-market alliance, and with its internal chief data office team being client zero. Leveraging Teradata for its internal use positions Kyndryl in an excellent position to address the challenges businesses face. A major Japanese consumer electronics manufacturer chose Teradata on AWS to help it provide analytics on IoT data derived from their products. A large Australian government agency has procured Teradata on Azure as the basis of its strategic data platform, underpinning the department's enterprise information initiative. This program will uplift its entire enterprise data management and analytics practices to better enable information sharing and collaboration within the department, across the government and with Australia's strategic international partners. This new customer was won with KPMG and was a competitive win against a number of other vendors. These wins are a testament to the people of Teradata. Our culture of being market driven, agile in execution, and accountable to each other truly helps us win. As we have transformed the company, it has been amazing to see everyone lean in and embrace the future. You have heard us say that "we do what we say we will do." This has been our mantra throughout our transformation, as all facets of the company acted with urgency and commitment in our successful pivot to the cloud. Our fantastic engineering organization completely rearchitected our analytics and data platform to cloud native, and we launched Teradata VantageCloud Lake and ClearScape Analytics at the end of Q3. We are quite pleased with the incredibly positive market response to the launch of these powerful capabilities. Our pipeline is building, and we have customers already leveraging our powerful new Lake product to get meaningful business value. When we win, we increasingly win with partners, and we continue to strengthen our partner-first approach. In 2022, we made major strides building out our partner motion; significantly advancing our capabilities, training thousands of partner employees, and building a leading partner-centric organization from the ground up. Our robust cloud growth is intrinsically tied to the deep partnerships our teams have built with the leading cloud service providers, systems integrators, ISVs, and resellers. In fact, 75% of our largest cloud deals were won in partnership with key systems integrator partners and cloud service providers. Looking ahead, we remain committed to partnering as a key element in our growth. We will continue to invest in building deep partnerships and accelerating market momentum in this area. Capping off our fantastic year was the very positive news that Teradata received continued recognition from Gartner in two important reports that denote cloud leadership. We were named a cloud leader in the 2022 Gartner Magic Quadrant for Cloud Database Management Systems. This makes an impressive 20 years in a row of being named a leader in data analytics. We had another consecutive year winning streak as we again garnered the highest scores in all four use cases in the Gartner Critical Capabilities for Cloud DBMS for Analytical Use Cases report. Teradata scored Number One in Data Lake, Number One in Traditional Data Warehouse, Number One in Logical Data Warehouse and Number One in Streaming Analytics. This is the second year in a row that Teradata has made a full sweep, leading in each of these use cases. We are proud of this recognition that validates our strength as a leader among leaders in cloud analytics and data. Being a market leader also comes with the duty to act as a responsible corporate citizen, an obligation we hold paramount. In 2022, we made great strides in our ESG program, processes, and governance. It is very rewarding to be included in key reports, such as Just Capital's 2023 Ranking of America's most just companies and Newsweek's list of America's most responsible companies. Our commitment to ESG is deep and broad. In recognition as one of the leading sustainability-driven companies, we were named in Dow Jones' Sustainability North American Index for the 13th year in a row, and we were included in its World Index for the eight time. You will be hearing more about our unwavering commitment to ESG throughout the year, and I am confident that you will like what you hear. As I turn the call over to Claire, who will share more about our financial performance, I want to emphasize that we made tremendous progress in 2022 and we have great confidence in our future. Our entire team is preparing to take another significant step forward in 2023. We remain steadfastly focused on generating profitability and we look to extend our strong track record of delivering on our earnings per share targets. Our 2023 non-GAAP diluted earnings per share outlook is almost $2.00 per share at the midpoint. This is more than a 20% increase year-over-year. We forecast accelerating growth in both 2023 cloud and total ARR, and we remain on track to meet our goal of $1 billion-plus of cloud ARR in 2025. We firmly believe our strategic transformation is right for Teradata, and the proof is in our results. Our technology is differentiated in the market, our people remain dedicated to customer success, and we will continue our strong sales execution and good cost discipline. We firmly stand on our commitment to profitable growth and delivering durable free cash flow. Let's now turn the call over to Claire.
Claire Bramley: Thank you, Steve, and good morning, everyone. I share Steve's enthusiasm on our strong finish to 2022. Teradata delivered on all metrics for both the fourth quarter and the full year. These results demonstrate great progress and momentum in delivering on our strategy we outlined in our 2021 Investor Day. Some quarterly and annual highlights include: Public cloud ARR grew 81% year-over-year in constant currency and 77% as reported, showing our ability to drive cloud ARR growth at scale and on track to achieve our fiscal 2025 target of over $1 billion. Total ARR of $1.482 billion, 2% growth year-over-year in constant currency and 1% decline as reported, despite a 4-point negative impact from ceasing our Russian operations. Fourth quarter recurring revenue of $357 million, which is a 3% growth year-over-year in constant currency and a 2% decline as reported. For the year, we achieved $1.419 billion of recurring revenue. A return to annual ARR and revenue growth, after excluding the impact of exiting Russia and currency. Fourth quarter non-GAAP diluted earnings per share of $0.35, which is $0.03 above the high-end of our outlook range. Full-year non-GAAP diluted earnings per share was $1.64, which is $0.02 above the high-end of our outlook range. Fourth quarter free cash flow of $120 million, resulting in a full year free cash flow of $403 million. I am proud of the entire team's performance in the current environment, which enables Teradata to remain on-track with achieving our cloud-first, profitable growth strategy. Let me now share some more details on our financial results, starting with revenue. Fourth quarter recurring revenue was $357 million. The 3% constant currency growth was driven by strong execution by our go-to-market team, resulting in strong cloud revenue growth year-over-year. Recurring revenue, as a percentage of total revenue, was 79%, which is up over 2 percentage points from the same period last year. In the quarter, there was a tailwind from net positive upfront recurring revenue of approximately $7 million. This was offset by headwinds related to exiting Russia and currency. Our earnings presentation provides the impacts to ARR and revenue in the fourth quarter and full year, demonstrating the underlying growth of the business. Fourth quarter total revenue was $452 million, flat year-over-year in constant currency and a 5% decline as reported. The year-over-year decline is primarily due to exiting Russia and declines in the consulting business, given our strategic pivot to develop a robust partner ecosystem. Moving to profitability. The fourth quarter was another period of healthy profit generation. We reported $269 million in gross profit, and a fourth quarter gross margin of approximately 60%. The primary driver of our healthy gross profit dollar generation continues to be the higher mix of recurring revenue. For the year, we reported $1.1 billion of gross profit, or a gross margin of 61.6%. This is in-line with the approximate 200 basis point decline year-over-year we provided in our outlook at the start of 2022, primarily driven by an increasing mix of cloud revenue as our cloud business continues to scale. Fourth quarter's operating profit was $62 million, or an operating margin of 13.7%. We continue to maintain cost discipline while prioritizing positive return-generating investments that are focused on our future growth. Total operating expenses were flat sequentially and down slightly year-over-year. Fourth quarter non-GAAP diluted earnings per share was $0.35, which is above the high-end of our outlook range by $0.03. We saw a slight benefit from upfront recurring revenue and currency partially offset by higher taxes. Turning to free cash flow and capital allocation. We generated $403 million of free cash flow in 2022, in-line with the outlook we gave at the start of the year of approximately $400 million. We continued to take advantage of our strong balance sheet and returned to shareholders 96% of our 2022 free cash flow. For the full year, we repurchased approximately 9.4 million shares, or approximately $387 million in total. Before I provide our annual financial outlook for 2023, I'd like to make some comments to set the context: We intend to leverage our momentum from 2022 to drive growth in both cloud and total ARR. In the cloud, we continue to be focused on direct and indirect activities that drive adoption of our VantageCloud platform, resulting in more workloads, migrations, expansions, and new logos. We will enable total ARR growth with the best hybrid solution in the market. On total gross margin, we continue to expect a slight headwind as we grow cloud revenue. We anticipate a solid improvement in cloud gross margin year-over-year as we progress on achieving scale benefits. On operating margin, we will maintain our cost discipline, and continue to make prioritized investments that we expect to result in an attractive return. Regarding free cash flow, I'd like to remind everyone that we had a one-time tax refund of $50 million, a non-recurring benefit to free cash flow in the first quarter of 2022. The forecasted higher profit in 2023 will convert into durable free cash flow, but will be more than offset by higher cash tax payments and the restructuring payments we mentioned on our last quarter's earnings call. On capital allocation, we have been and remain committed to returning significant capital to shareholders while continuing to invest in growth. Demonstrating this commitment, we are increasing our return of free cash flow target from at least 50% to at least 75%. We have confidence in the resilience and sustainability of our free cash flow and in our disciplined returns-based approach to capital allocation. We believe Teradata has a resilient business model given our strong enterprise customer relationships and the mission-critical workloads that run on our platform. We continue to keep a close eye on the macro-economic environment and are starting to see increased scrutiny on enterprise spend. It is not yet pervasive, but it has influenced our thinking to be prudently conservative in our 2023 outlook. Our annual outlook for 2023 is as follows: public cloud ARR is anticipated to grow year-over-year in the range of 53% to 57%; total ARR is projected to grow year-over-year in the range of 6% to 8%; total recurring revenue is expected to grow year-over-year in the range of 4% to 7%; total revenue is anticipated to grow year-over-year in the range of 1% to 4%; non-GAAP diluted earnings per share is projected to be in the range of $1.90 to $2.06; free cash flow is expected to be in the range of $320 million to $360 million. Here are some modeling assumptions for 2023: a non-GAAP tax rate of approximately 25%; weighted average shares outstanding of 101.3 million; other expense of approximately $40 million. For the first quarter of 2023, we anticipate non-GAAP diluted earnings per share to be in the range of $0.60 to $0.64. We project the non-GAAP tax rate to be approximately 28% and the weighted average shares outstanding to be 102.1 million. Before we open the call for Q&A, I'd like to provide a brief overview on our progress towards the 2025 financial goals we provided at our September 2021 Investor Day. We remain on track to achieve over $1 billion of cloud ARR in 2025. For total ARR, recurring revenue and total revenue, using the exit of fiscal 2022 as a starting point, we forecast future growth in-line with the lower end of the compound annual growth rates that we provided at Investor Day. We've talked about the 2022 exogenous headwinds, which we believe are now behind us, and we are building on the strong momentum we just demonstrated in the fourth quarter. We also remain on track with the margin profile we shared with you at Investor Day, improving gross margins in the cloud to drive an operating margin profile in the low 20% range. We are introducing a range for free cash flow in 2025 of between $450 million to $500 million, which accounts for the exit of Russia and conservatism based on the current macro environment. I'd like to conclude by restating that we are excited about what we achieved in 2022 and look forward to driving future profitable growth and a healthy return to shareholders. Thank you very much for your time today. Operator, can we please open the call for questions.
Operator: [Operator Instructions] Our first question today comes from Tyler Radke from Citi. Your line is now open.
Tyler Radke: Thank you. Good morning. Claire, on the commentary on the macro environment, I'm wondering if you could expand on that a little bit. Obviously, it was a really strong Q4. As you pointed out, ARR and cloud ARR were in line to ahead of your guidance. Where are you seeing the elevated decision-making taking place where there are deals that maybe slipped out of Q4? And just how are you incorporating that into your outlook for 2023? Thank you.
Claire Bramley: Yes, good morning, Tyler. Thank you for the question. So, as we all know, 2022 and also 2023 is pretty volatile from a macro economic environment. We are not seeing any significant changes to customer behavior. We are seeing a little bit of scrutiny, but as I mentioned in my prepared remarks, that's not pervasive. So, we were very pleased with the team's execution of our Q4 and 2022. We had a strong pipeline as we mentioned at our last earnings, and the team delivered extremely well on that strong pipeline. So, we are excited about the momentum that we have in 2023 and going into the new year. But we also want to make sure that given the volatility that we are conservative and we have factored that into our 2023. As always, we will monitor closely. We've done that throughout 2022, and we will continue to update you and the team and update our models with the latest information.
Steve McMillan: I'll just add to that, Tyler. We're a player in the data and analytics marketplace. And I think if you look through all of the industry reports, you still see that there is robust demand for data and analytics solutions in the marketplace. And that's certainly something that we're seeing from our customers. So, they want to use data to help them respond to these turbulent macroeconomic pains. It's really interesting seeing the rise in interest of artificial intelligence. We, like our customers, believe that artificial intelligence without great data is just artificial. And so, being the provider of the best possible quality data insight to our customers really sets us apart from really providing these engines of capability to our customer set. We're seeing a lot of uptick in terms of the usage of the analytics capability that are built into the Teradata engine that enable that complex AI and ML model [of those] (ph) activities, for example. So, from -- even though everybody is experiencing these macroeconomic pains, I think from an industry segment perspective, we're in a fantastic marketplace and we're seeing results that reflect that fantastic marketplace opportunity.
Tyler Radke: Thanks. And as a follow-up, Claire, just on the long-term update for free cash flow, obviously, it's come in a little bit lower relative to your initial long-term guidance, which understandable given Russia and currency. But I'm wondering if you could unpack that a little bit further. What are you kind of assuming for gross margins? And then, any change on your long-term tax assumptions? I think tax rates for next year appear to be a bit higher than some of the modeling assumptions from the Analyst Day. So, if you could just kind of unpack all the puts and takes driving that downward revision in the free cash flow?
Claire Bramley: Yes, absolutely, Tyler. So, as you said, the biggest impact is because of the exogenous headwinds that we saw in 2022, so being Russia and currency as you highlighted. So that's why we've kind of changed our financial goals looking from the end of 2022 out to 2025 on free cash flow, specifically. And how much of that is margin? We are actually keeping our operating margin rate goals aligned to what we laid out in Investor Day, which is in the low 20% range. So that, and, obviously, our public cloud ARR numbers are the key ones that we've kept in line with our Investor Day in 2021. The free cash flow came down mainly due to those exogenous headwinds and partly due to a higher tax rate, as we're paying higher cash taxes as we look forward, and, obviously, we're paying more taxes on the higher income that we're generating. The one thing that we did get the benefit from, as I mentioned in my prepared remarks, in 2022 was that tax refund in Q1 of 2022. So, obviously, that's a non-recurring one-time benefit that comes out for 2023 and moving forward.
Tyler Radke: Thank you.
Claire Bramley: Thank you very much, Tyler.
Operator: Our next question today comes from Erik Woodring from Morgan Stanley. Your line is now open. Please go ahead.
Erik Woodring: Great. Thank you so much. Steve, I wanted to just build on something that you just said. Generative AI today, I feel like it's all the rage. And so, I just wanted to kind of double click on your comment about how these types of workloads are impacting either your cloud ARR growth or generally the interest in the Teradata Vantage platform? Would just love to know if there has been any change in the last, let's call it, month to three months, if this has been around for a while and this is just status quo for you guys? Would love if you could just unpackage your comments, maybe a little bit more double click there. And then, I have a follow-up. Thanks.
Steve McMillan: Yes, thanks, Erik. Yes, one of the reasons that we launched and branded our analytics capabilities at the end of Q3 in terms of ClearScape Analytics was really to emphasize that the Teradata platform is not just your grandmother's enterprise data warehouse. We're a data warehouse, we're a data lake, we're an analytics engine for our customers. And the model ops capability, the data ops capability, the fact that we can train tremendous numbers of models for retailers, for banks, for use cases like risk and fraud management is really powering AI models inside our customers today. So, we're making that really real in terms of business outcomes for our customers. And not only that, they know that they are basing those models on real and high-quality data that's inside Teradata, because it's not an extracted copy that may have been modified, it's utilizing the data that's absolutely core to the mission critical activities of that customer. So, if it's an airline that's looking at optimizing flight operations for sustainability, using those advanced analytic and AI models or ML models, if it's a bank looking at how to reduce its stress profile, if it's a retailer looking at next best action for a customer, we see all of those really driving use cases and utilizing Teradata [and say their] (ph) customer to maximize business value. Hopefully, that answers your question, Erik.
Erik Woodring: No, that's very helpful. Thank you, Steven. And maybe if I just follow-up with another one is you made the comment earlier in the call about 20% more new logos in calendar '21 than -- excuse me, in calendar '22 than in calendar '21. Maybe if you just take a step back and think high level, can you maybe help us better understand the profile of this new cohort of customers? Anything looks different? What looks similar? Again, maybe just providing some more detail on those new logos that you were able to bring in the door over the last 365 days? Thanks.
Steve McMillan: Yes, sure. And I'll take a step back as well and just reflect from the last 2.5 years that we've had as a journey to transform to a cloud-first company. In those 2.5 -- short 2.5 years, we have grown a cloud business of over $350 million and our outlook for 2023 is to take that well over $500 million of cloud ARR. The new logo engine and activity that we started as we executed that transformation journey is it still growing in terms of its execution and capability. It's expected by us that those new logos will be much smaller in size when we compare it to some of the migration activities that we're doing, but we expect those new logos to start small and grow rapidly over time as we take all of the business insight that we have from looking and working with the biggest companies in the world with the most complex use cases and making those kind of solutions available to customers that are just starting out with us in the cloud. So, the new logo motion for us is a key part of how we see our future building, but it's a small part that we see growing into the future.
Erik Woodring: Super. Thanks for the details, Steve.
Steve McMillan: Thanks, Erik.
Operator: Our next question comes from Derrick Wood from Cowen & Co. Your line is now open.
Unidentified Analyst: Hey, guys. It's [Andrew] (ph) on for Derrick. Thanks, and congrats on the quarter. Steve, on the on-prem, ARR business was strong. That would, I think, imply a strong renewals quarter. Can you talk about how those renewals tracked versus your expectations? How has visibility on this business changed over the last few months? And could you ballpark size for us how large your renewal base is this year versus 2022?
Steve McMillan: Yes, I'll let Claire comment maybe on some of the numbers. I'll just give you a little bit around the management of our renewals business. From a renewals perspective, the team landed a great quarter from a renewals and expansion of our on-prem business. As we said -- as Claire said in her prepared remarks, our on-prem ARR stayed very steady, even though we're taking some of that on-prem cloud ARR and migrating into the cloud and turning them into cloud customers. And then a market, if you look at the industry reports, they say that the on-prem marketplace is flat to low single digit growth. So, we were really pleased to see a steady renewal space, fantastic execution by the team in terms of that renewals pipeline to get to the result that we saw for Q4 and for 2022 overall. No unanticipated activities in terms of bringing opportunities forward or [selecting] (ph) opportunities out of the quarter. I think the renewal engine that we have executing inside Teradata is really generating reliable, robust consistent results.
Claire Bramley: Yes, the only thing I would just highlight on the numbers is the fact that clearly, obviously, strong cloud ARR growth. But the fact that if you adjust for Russia and currency, we have a really strong total ARR growth as well, that's really positive. So -- and in our on-prem, we continue to see expansions, as Steve talked about. We continue to see good renewals, as you mentioned. And so, we're very pleased with that momentum as we come out of Q4. The way the team executed throughout 2022, given those headwinds that we saw and we're continuing to see that as we kick off 2023.
Unidentified Analyst: Yes, that's great. And Claire, on the cloud ARR guide for this year implies about 30% net new ARR for 61% this year. Maybe just walk us through your assumptions in there? The pervasive scrutiny or -- sorry, the enterprise scrutiny comment, but not yet pervasive, what are you assuming? Is that the same or it gets worse? And any kind of cloud migration activity assumptions as well would be helpful. Thanks.
Claire Bramley: Yes, sure. So, very similar to 2022, we're anticipating the majority of our cloud ARR growth in 2023 to come from migration and expansion. We're still seeing a strong expansion rate - net expansion rate in the cloud and that is anticipated to continue as we saw in 2022. And as you can see, strong renewals on-prem, so continued big opportunities from a migration standpoint. As Steve mentioned earlier to Erik's question about new logos, new logos is -- will become a slightly more significant part of 2023 for us as we continue to land and expand, but it's still the smallest portion of our expected growth. And we've been pretty conservative there knowing that the macroeconomic environment is pretty volatile right now. So, most of it coming from migration and expansion, some new logos. With our new VantageCloud Lake launch that happened in 2022, we see that as a big opportunity to help land those smaller new logos, whether it's departmental or experimental-type workloads, good opportunities there as we move through 2023. I did mention a little bit of additional scrutiny. As I mentioned, it's not pervasive. No significant changes to customer behavior, but we just thought that was important to take into consideration and derisk our 2023 outlook.
Unidentified Analyst: Great. Thank you.
Claire Bramley: Thank you so much.
Operator: Our next question today comes from Chad Bennett from Craig-Hallum. Your line is now open.
Chad Bennett: Great. Thanks for taking my questions. So, just to follow-up on the cloud ARR drivers, I think, at the start of this past year, I think, Steve, you mentioned on the migration side that you'd see a incremental amount of buying ahead, right, or buying more kind of consumption or migration at the initial deal. Do you expect that to continue at the rate it is? And at what point do you think if we do annualize that, do we see net expansion actually potentially accelerate if you do? Thanks.
Steve McMillan: Thanks for the question, Chad. Yes, I think we made the point in terms of our net expansion rate at 117%, but it was taken into account the fact that a lot of customers were actually increasing the capacity in the cloud at the point of making -- constructing a deal for that migration. So, a good job from the sales team in terms of forward anticipating the workload that, that customer is going to require in the cloud and encapsulating that in a commercial construct that is attractive for the customer to execute at that point of saving that deal to migrate to the cloud. I think one of the great things that we've got and it kind of relates to one of the prior questions on the call, as we had great visibility into the workloads that our customers run in terms of the mission-critical nature and also the historical growth patterns that have happened from an on-prem perspective. And it's the very fact that we have that insight into some of the biggest customers in the world that allow us to construct that initial commercial value proposition that encourages them to increase the forward capacity as they move from on-prem to the cloud. So, to simply answer your question, yes, we do expect that to continue in terms of migrations growing at the -- in terms of contract value growing at the point of migration. Our net expansion rate at 117% for an as-a-service business, I think it's pretty healthy in, say, the industry, but we do see opportunity to continue to grow that, and we'll do that from a couple of basis -- from a couple of factors. One, we'll continue to grow that mission-critical workload with our customers. Two, we'll utilize the new product launches like Cloud Data Lake where we can actually save could data lake use cases to save the enterprise data warehouse and save their customers, but also analytics. Everybody's talking about AI, machine learning, how you utilize that data from an AI perspective, and how you really derive great insights from the data that you've got inside your organization, our ClearScape Analytics value proposition will allow that expansion too. So, we are enabling our sales force this year to really drive new use cases, new value propositions into our customers to drive that overall expansions number. Hopefully that answers the question, Chad.
Chad Bennett: Yes. It did. Thanks. And one quick follow-up. Just on the cloud lake, VantageCloud Lake, I know it's only been out a few months, maybe four or five months, but is there -- well, maybe two questions real quick. I mean, how much of whether it's ClearScape or Data Lake are factored into cloud ARR, just kind of roughly in your target this year, your guide this year? But secondly, maybe more importantly, do you sense from a market perception standpoint, especially around VantageCloud Lake, that the awareness is out there of your ability to handle unstructured data and kind of be in more of a broaden cloud data management platform? Just any kind of early sense there on that, then I'll hop off. Thanks.
Steve McMillan: Yes. So, I think a couple of things, Chad. We are seeing tremendous interest and traction with both new and our existing customers on our cloud lake capability. We're never going to break out what's VantageCloud enterprise versus VantageCloud Lake. From our perspective, it's kind of immaterial, right? We respond to the use cases and workloads that our customers demand from us. And so, if it's -- what we wanted to do from a cloud lake launch perspective at the end of Q3 was, to your very point, make the market aware that not only can they access the very best enterprise data warehouse utilizing Teradata VantageCloud technology, they can also have the very best data lake solution, utilizing VantageCloud technology. And one of the propositions that we are taking to our customers just now is, hey, you may have been thinking about how you deploy native objects or maybe on-prem or maybe in the cloud. We enable you to have an intelligent-native object store and we can lower your cost of using native object store of accessing and getting the best insights out of unstructured data using a Teradata engine that can deliver high-performance analytics across all of the types of data that you have. And that's why the Gartner -- becoming Number One in all four analytical use cases, far outpacing Databricks, far outpacing Snowflake as a key part of the message that we'll continue to take to the market.
Chad Bennett: Okay. Thank you.
Operator: Our next question today comes from Wamsi Mohan from Bank of America. Please go ahead.
Wamsi Mohan: Yes. Thank you. Good morning. Could you share some thoughts around the upfront dynamics that we should be thinking about in 2023? Should we consider that to be net neutral to revenue and earnings in 2023? And given the dynamics that we've seen so far, is it right to assume that we would get a positive uplift in 1Q and 4Q of 2023 and a headwind in 2Q and 3Q?
Claire Bramley: Good morning, Wamsi. Yes, let me take that. So, as you said, we're starting to go through the cycle of our upfront recurring revenue impact. So, I think to your point, with '23 compared to '22, no significant changes expected year-over-year, but we will see that kind of similar seasonality that we saw in 2022. So, a slight upfront, to your point, benefit in Q1 and then less of a benefit throughout the year. So, very similar seasonal impact. But when you look at the total year year-over-year, we're not anticipating material changes, and that's what we're factoring into our outlook as well.
Wamsi Mohan: Okay. Thanks, Claire. And then, just a follow-up on your longer-term comments around cash flow and margins, particularly around margins. I think you said exiting 2022, if we take that the base and look at the revenue trajectory coming in towards the low end, you're still maintaining your margins. Is there incremental OpEx actions that you're anticipating, taking what might be the size of that if there is? Or if not, is it sort of a higher blend up in gross margins, that's the offset? Any color there? And Claire, if you could, sorry, one more on -- just on the free cash flow in '23 versus '22. Could you give us some sizings on what might be the potential cash tax headwind that you're anticipating? And does that [make any] (ph) changes in the R&D tax credit? Thank you so much.
Claire Bramley: Absolutely. So, yes, so first of all, with regards to our gross margin and operating expenses assumptions as we look out to 2025, Wamsi, so we had already assumed an improvement in our cloud gross margin as we scale through 2025, we're making good progress on that. So that definitely is an opportunity for us from the exit of 2022 out to 2025, an opportunity for us to grow our gross margin rate coming from that scaling of our cloud business. To your point, we also are anticipating operating expenses efficiency improvement. So, although we're not anticipating to cut significantly out to 2025 with dollars, again, as we continue to grow, we are anticipating efficiencies there. So that's what's driving that operating income improvement. As you know, we have big headwinds, whether it's currency, whether it's Russia, we weren't able to offset all of those headwinds. There were significant headwinds to us from an EPS standpoint, but we did mitigate some of that. So, thanks for the cost discipline approach that we have, we know that we can operate efficiency. So, we're not planning any significant changes and reductions over time. We have done some restructuring, as we mentioned. We mentioned it last earnings call and this earnings call, but nothing materially incremental looking forward. So, it's purely coming from public cloud gross margin improvement and expansion and operating efficiencies as we continue to scale both at the gross margin and operating expenses perspective. Moving to your kind of second question, I think, with your follow-up question in terms of free cash flow bridge from 2022 to 2023. So, again, we were pleased that we were able to still meet that $400 million, but we did have that $50 million one-time benefit in Q1 of '22. So, if you take that kind of underlying number that we have as kind of a recurring free cash flow, take into account the fact that we are growing profitability, so we, obviously, get a benefit and durable free cash flow from that. That, unfortunately, is being offset by restructuring. So, restructuring -- we have incremental restructuring in 2023 versus 2022 and those higher cash taxes. So that's the bridge as you get from '22 to '23 free cash flow to get to our new range of $320 million to $360 million.
Wamsi Mohan: Okay. Thank you so much.
Claire Bramley: Thank you, Wamsi.
Operator: Our next question comes from Pat Walravens from JMP Securities. Your line is now open.
Pat Walravens: Oh, great. Thank you, and let me add my congratulations. Steve, how would you say the competitive environment for Teradata today has changed from what it was three years ago?
Steve McMillan: Hey, Pat, thanks for -- that's a very direct into the point question. In terms of the competitive environment, I think we've repositioned the company. So, we've gone from a company that was focused on being the best on-prem enterprise data warehouse, and we have repositioned the company as a leader in cloud database management systems in the marketplace. And our customers are looking at us now as being the right choice to continue their investment in data and analytics, but not only that moves the most complex workloads that they have in their on-prem systems that they were unable to migrate to the cloud and take those to the cloud now. And now with the launch of VantageCloud Lake and ClearScape Analytics, that's just building on the capabilities that we have from a cloud perspective and setting apart or differentiates the value proposition. And I mentioned it a little bit earlier in the Q&A session and also in my prepared remarks, if you look at where this -- what this company has done in the last 2.5 years, it's increased its cloud ARR six-fold to over $350 million of cloud ARR. You don't do that without significantly changing your positioning in the marketplace, how our customers view us and how our customers view us in terms of being a strategic platform that can integrate into their environments of the future to deliver the most complex workloads and capabilities that they have -- that they need to address the environment that we're working in. So, I think compared to three years ago, we're a completely different company.
Pat Walravens: Yes, I agree. And -- but what -- in terms of who you're competing against, how has that evolved? And I know this is a big picture, but I think it's helpful.
Steve McMillan: Yes, I think if [anyone pulls out] (ph) the Gartner Magic Quadrant, you can really -- you can see the competitive landscape from a cloud DBMS perspective. From -- as we look at competition, we think about it in three segments. We think about it from a traditional competitive perspective with the Oracles and IBMs, but clearly, we've got a fantastic differentiated capability. We think about it in terms of the native capabilities that the CSPs put out there, like [rate check] (ph) from AWS or the native services from Microsoft or Google, and then you've got the kind of new cloud native entrants like Snowflake and Databricks. Our new next-generation platform enables us to win across all three segments of the competition that we see, we can differentiate from a capabilities perspective, from an enterprise performance perspective, from a cost per query perspective, and also just the fundamental capabilities of the Teradata platform have completely changed. So, we can -- we feel very confident and our sales teams feel very confident now about going out and positioning Teradata as a future platform to take on the likes of Databricks to win back workload from Snowflake and to win against competition in the marketplace. And certainly, all of the decisions that we come across from a migration perspective or from a new logo perspective is against competitive activity. Our customers are smart customers. They want to make sure that they get the best possible deal in the marketplace and I'm really proud how the Teradata capabilities stack up competitively against the new cloud native providers, against the CSP capabilities and against our traditional competitors in terms of delivering something that none of those organizations can deliver alone.
Pat Walravens: Awesome. Thank you.
Steve McMillan: Thanks, Pat.
Operator: Our last question today comes from Howard Ma from Guggenheim Securities. Your line is now open.
Howard Ma: Okay. Great. Thanks for fitting me in. I have one question for Steve and a follow-up for Claire. First for Steve. I want to ask you about your go-to-market strategy and how that will continue to evolve in 2023 to put VantageCloud products more at the forefront of customers' buying decisions? So, Steve, you mentioned making a significant investment in partner ecosystem in 2022. So, specifically, this year, what are you doing incrementally from a partner standpoint, also from a sales incentive standpoint or any notable changes in pricing and packaging?
Steve McMillan: Yes, thanks for the question, Howard. The -- just from -- I'll start in the reverse order. From a pricing and packaging perspective, we launched a new pricing model through 2022. It's probably one of the most flexible and dynamic pricing models that's in the marketplace. We certainly believe that in terms of having both effects and consumption-based approach, which gives us certainty in terms of our P&L and our outlook for 2023. From a sales incentive perspective, we are incenting our sales force even more to be working with partners. We're incenting our consulting teams to ensure that they are there to help work with and enable SIs and resellers in terms of working with the Teradata ecosystem. We're investing in capabilities as being part of the developer ecosystem in 2023. That's an investment area for us in terms of ensuring that we capture the hearts and minds of developers and [save] (ph) their customers and potential customers, and then continuing to invest both with CSPs and the systems integrators. We said that in the prepared remarks, 75% of the large transactions that we executed had systems integrators engaged and involved. We'd like to take that to 100%. We see tremendous interest from the SIs, I'll mention Accenture as an example of that. Some of the strategic partnership that we have with Accenture in terms of jointly taking industry value propositions to our customers, having those system integrators invest in solution capabilities built on Teradata that utilize capabilities that only Teradata can perform and execute at scale, given the masses of data that some of these industry solutions require, we're going to continue to see an acceleration of that. I know you've got a question for Claire, so I'll stop there and let you ask that.
Howard Ma: Okay. Thank you, Steve. Thank you for the real good color. For Claire, a quick one. The last question is that your 2023 cloud ARR guide, that implies about $200 million of incremental growth for this year at the midpoint versus $155 million in 2022. Should we expect the vast majority of that to be weighted in Q4? Or it's because the migration going to be more of a smoother cadence of net adds throughout the year? Thank you.
Claire Bramley: So, thank you, Howard, and good morning. So, yes, our seasonality that we've seen in '21 and '22 will continue in 2023. So, we are anticipating growth to sequentially accelerate throughout the year, which ultimately does mean more comps from Q4 than the earlier quarters. But you should be able to see that acceleration as we go throughout the year. But we saw in 2022, and we're anticipating the same seasonality in 2023.
Howard Ma: Okay, great. Thank you so much.
Claire Bramley: Thank you.
Operator: There are no further questions at this time. I will now turn the call back over to Steve McMillan for his final remarks.
Steve McMillan: Thank you very much for joining us this morning, and I hope you all have a great day. Thank you.
Operator: This concludes today's conference call. You may now disconnect your lines.